Operator: Good afternoon, and welcome to the conference call to discuss Everspin Technologies Second Quarter 2024 Financial Results. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Cassidy Fuller, Investor Relations for Everspin.
Cassidy Fuller: Thank you, operator, and good afternoon, everyone. Everspin released results for the second quarter 2024 ended June 30, 2024, this afternoon after the market closed. I’m Cassidy Fuller, Investor Relations for Everspin. And with me on today’s call are Sanjeev Aggarwal, President and Chief Executive Officer; and Matt Tenorio, Interim Chief Financial Officer. Before we begin the call, I’d like to remind you that this conference call contains forward-looking statements regarding future events, including, but not limited to, the company’s expectations for Everspin’s future business, financial performance and goals, customer and industry adoption of MRAM technology, successfully bringing to market and manufacturing products in Everspin’s design pipeline and executing on its business plan. These forward-looking statements are based on estimates, judgments, current trends and market conditions and involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. We would encourage you to review the company’s SEC filings, including the annual report on Form 10-K and other SEC filings made from time to time in which the company may discuss risk factors associated with investing in Everspin. All forward-looking statements are made as of the date of this call, and except as required by law, the company undertakes no obligation to update or alter any forward-looking statements made on this call, whether as a result of new information, future events or otherwise. The financial results discussed today reflect the company’s preliminary estimates and are based on the information available at the date hereof and are subject to further review by Everspin and its external auditors. The company’s actual results may differ materially from these estimates as a result of the completion of financial closing procedures, final adjustments and other developments arising between now and the final time – and the time the financial results for this period are finalized. Additionally, the company’s press release and statements made during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company’s press release are definitions and reconciliation of GAAP net income to adjusted EBITDA, which provide additional details. A copy of the press release is posted on the Investor Relations section of Everspin’s website at www.everspin.com. And now I’d like to turn the call over to Everspin’s President and CEO, Sanjeev Aggarwal. Sanjeev, please go ahead.
Sanjeev Aggarwal: Thank you, Cassidy, and thanks, everyone, for joining us on the call today. Before I discuss the results, I want to make a moment to welcome Matt Tenorio back to Everspin as our interim CFO. Matt previously served as the company’s Corporate Controller and as Interim Chief Financial Officer in 2020, and he rejoined Everspin in June 2024 as an independent consultant to support finance operations. On behalf of the Board and management team, I also want to thank Anuj for his hard work and dedication over the past 3 years, and we wish him well in his next endeavor. Turning to our second quarter results. We delivered revenue and net loss within our guidance range with revenue of $10.6 million and a net loss of $0.12 per basic share. We ended the quarter with a strong balance sheet, including cash of $36.8 million. During the quarter, Everspin had advancements in a number of areas that showcase our key corporate capabilities. I will discuss a few of these here that span our PERSYST product portfolio, design and technology development services and foundry services. Starting with our Toggle MRAM solution. As expected, during the quarter, we continued to experience weakness, partly due to inventory consumption at customers and partly due to unfavorable currency exchange rates in the Asia Pacific markets, which have resulted in a slow recovery for our Toggle MRAM products. Looking ahead, we see positive signs of inventory consumption at our customers, giving us increased visibility into demand for the rest of the year. We expect a modest ramp in our Toggle Solutions worldwide in the second half of 2024. During the quarter, we experienced strong traction with our 4 meg to 128 megabit STT-MRAM PERSYST family globally, especially in the European and the Asia Pacific regions where we saw our highest design activity and production volume, respectively. As a reminder, this family was brought to production last year. We expect to begin delivering on these design wins later this year or in early 2025. And based on customer discussions, we expect a few design wins to go into production later this year with revenue ramping in 2025. Earlier in the second quarter, we announced that IBM chose our PERSYST 1-gigabit STT-MRAM solution for use in its Flash NOR module 4 for data center applications. This is the fourth generation of IBM’s FCM that has featured Everspin’s STT-MRAM technology. With the DDR4 like interface, our PERSYST solution delivers 2.7 gigabytes per second of both read and write bandwidth, coupled with nonvolatility. Since the announcement, we have seen continued growth in orders from IBM and expect to see sustained growth in this product over the coming quarters. Turning now to our radiation-hard program. On our previous earnings call, we noted that we were engaged in 2 Rad-Hard programs utilizing our STT-MRAM technology. The first program related to an ad hoc 64-megabit STT-MRAM project remains ongoing. The second program is aimed at building a strategic Rad-Hard FPGA. As recently announced, we executed a contract to continue our collaboration on this program with QuickLogic and Honeywell. Under the contract, Everspin will provide its innovative AgILYST MRAM technology, logic design and back-end-of-line manufacturing services to advance the development and demonstration of strategic radiation-hardened high-reliability FPGA technology. This initiative supports both current and future DoD strategic and space system requirements. Earlier this month, we attended SEMICON West, where we engaged in meaningful conversations with automotive companies about use cases for STT-MRAM chiplets. With increasing vehicle electrification, central processing units require much higher density and faster memory that current technology cannot provide. As a result, we are starting to see increasing interest in our STT-MRAM products to handle the vast amount of data that EVs generate. We see this as a meaningful opportunity for Everspin over the next few years and expect to have further conversations with potential automotive customers at the Automotive Chiplet Alliance Conference in October. We are also pleased to share that we entered into a strategic agreement with a leading provider of sensor devices to provide foundry services for their latest generation TMR sensor device. Everspin has fundamental IP for TMR sensors and a long history of manufacturing these devices. This agreement will allow our customer to enable a consistent, high-quality product supply for their end markets, including for industrial and commercial applications. To date, we have manufactured and shipped over 150 million Toggle MRAM, STT-MRAM and magnetic TMR sensors from our Chandler, Arizona facility. Turning to our outlook for the remainder of 2024. As we have discussed on our last two earnings calls, we expect the year to be weighted more heavily towards the second half of 2024. Despite the short-term challenges I outlined above, we continue to see a path towards a stronger second half as we begin to recognize revenue from our new STT-MRAM design wins. I will now turn it over to our interim CFO, Matt Tenorio, who will take you through our second quarter financials and third quarter 2021 guidance. Matt?
Matt Tenorio: Thank you, Sanjeev, and good afternoon, everyone. I’m pleased to return to Everspin at such an exciting time. Now turning to our results. For the second quarter, we are pleased to deliver quarterly results within our guidance range with revenue of $10.6 million compared to $15.7 million in the second quarter of 2023. MRAM product sales in the second quarter, which include both Toggle and STT-MRAM revenue was $9.9 million compared to $13.4 million in Q2 of ‘23. The decrease was the result of a decline in product sales due to the timing of customer demand. Licensing, royalty, patent and other revenue in the second quarter decreased to $0.7 million compared to $2.3 million in Q2 ‘23 due to a decline in revenue from our Rad-Hard projects. Turning to gross margin. Our gross margin was 49% for the second quarter, down from 58.4% in Q2 ‘23. The decrease was due to a decline in product sales and licensing revenue related to our Rad-Hard deals. GAAP operating expenses for the second quarter of 2024 were $8 million compared to $7.6 million in the second quarter of 2023. The slight increase in OpEx was largely due to expenses related to our new xSPI family of STT-MRAM products. Due to these factors, our second quarter results were a loss of $2.5 million or a loss of $0.12 per basic share, within our guidance range of a loss of $0.09 to $0.14 based on 21.6 million weighted average basic shares outstanding. This compares to net income of $3.9 million or $0.18 per diluted share in the second quarter of 2023. Adjusted EBITDA was a negative $0.2 million compared to $5.4 million in Q2 ‘23. Looking ahead, we expect to see a modest improvement in our loss per share next quarter. We are pleased that our balance sheet remains strong and debt-free. We ended the quarter with cash and cash equivalents of $36.8 million, up from $34.8 million at the end of the prior quarter. Going forward, we continue to believe our capital is sufficient to meet our anticipated capital requirements for the next year. Cash flow generated from operations was $1.7 million for the second quarter. Turning to guidance. As we mentioned on our last two earnings calls, we had anticipated lower revenue for the first half of 2024, which has proven to be true. Looking to the second half of the year, we still believe that we will begin to see a ramp in revenue as well as design wins, and we have already begun to see positive signs of recovery in inventory consumption of our customers. Taking these factors into consideration, we expect Q3 total revenue in the range of $11.5 million to $12.5 million and GAAP net loss per basic share to be between $0.05 and $0.10. In summary, we remain optimistic for the second half of the year and remain focused on scaling our business and converting design wins to revenue. We are focused on growing our PERSYST Toggle MRAM and STT-MRAM products and anticipate modest growth for our products for the remainder of this year. We also expect to see strong growth in our data center products in the second half with our high-density STT-MRAM. Overall, we remain confident in our ability to expand and scale our business in the second half of 2024. Operator, you may now open the line for questions.
Operator: Thank you. [Operator Instructions] And it comes from the line of Quinn Bolton with Needham & Company. Please proceed.
Quinn Bolton: Hey, guys. Thanks for letting me ask few questions. Just wanted to start – you mentioned some increasing design win momentum, especially in Europe and APAC. I wonder if you could give us some more details there? Are there particular applications for these designs? Is it NOR Flash replacement? Are there other applications? I assume a lot of these are sort of embedded industrial type designs, but just wondering if you could give us more color perhaps on some of that design win momentum?
Sanjeev Aggarwal: Sure, Ken. I think as we have discussed in the past, these design wins are targeted towards the programmable logic controllers in the industrial automation area, and we’re seeing them both in Japan as well as Europe. And also, we are seeing some traction with the FPGA companies and the aerospace and defense centers. So basically, we have three different areas where we’re starting to see some traction. With the FPGA, like you mentioned, it’s basically targeting NOR flash replacement with the programmable logic controllers, so backing up a little bit, our low-density STT-MRAM product basically has both interfaces compatible with NOR flash as well as SRAM. So, when you are looking at FPGA, that’s where they are taking advantage of the NOR flash type interface. And we are looking at programmable logic controllers, they are taking advantage of our SRAM type interface. So, those are the primary design win areas that we are looking at and verticals that we are looking at.
Quinn Bolton: Great. And just maybe a follow-up question. Just you mentioned starting to see signs of momentum in the customer base in terms of the inventory digestion. Where do you think we are in that inventory digestion process? And perhaps, more importantly, do you think you get back to sort of shipping in line with consumption, say, by the end of the year? Do you think this inventory burn for various customers potentially last into early 2025?
Sanjeev Aggarwal: So, we are seeing signals of inventory consumption. We are also seeing our customers placing orders with very short lead times. So, even though our lead times will be 20 to 26, we will get an order where they want us to fill the order within a weak kind of timeframe. So, all of this is basically suggesting that our customers have inventory that is being consumed in their hand to mouth and just because they are trying to conserve their cash, we are getting the orders last minute. So, I think the behavior is going to change over time, where they are really starting to see orders come in and they will want to build inventory on their side as well. So, I think by the end of the year, we should see a returning to normal lead times and inventories over there.
Quinn Bolton: Great. And then I guess a couple for Matt. Gross margin down at 49%, I certainly understand the mix shift away from some of the royalty income is just going to have a big impact on the gross margin. But it looks even if I account for that mix that the product gross margin was probably in the mid to upper-40s to get the blended gross margin of 49%. Can you just give us a sense of what’s going on in the product side? Is that just purely absorption on lower revenue, were there other issues that might have affected product gross margin in the quarter?
Matt Tenorio: That’s a great question. And I think you have got it. But really also what we are seeing is a mix to some of the lower-margin products. And then also because we are running lower volume, we are having to absorb our fixed costs over that volume, but we do expect that to improve as the year progresses.
Quinn Bolton: Got it. Thank you very much.
Operator: Thank you. Our next question comes from the line of Richard Shannon with Craig-Hallum. Please proceed.
Richard Shannon: Hi. Thanks for letting me ask a couple of questions. First one, I guess is just on the third quarter guidance, trying to get a – trying to fit this into the theme here of second half improving over the first half. I guess I want to get a sense of whether products is expected to grow at all sequentially, or is this all coming from the license and royalty bucket?
Matt Tenorio: Yes, we are expecting our product revenue to go up sequentially.
Richard Shannon: Okay. And can you characterize whether there is – I assume there is very little, if any, PERSYST revenues in there, but how about Toggle versus high-density STT. Is there any pickup in the high-density stuff, or is it all Toggle?
Matt Tenorio: Well, I think as we mentioned, we do expect high-density STT products to ramp up as well in the next half.
Richard Shannon: Okay. Fair enough. Sanjeev, maybe kind of a multipart question you are kind of looking at your – some of your major projects that are recognized in the license royalty bucket here with basically the Rad-Hard projects in the contract you announced, I think last week maybe. How do we think about the revenue stream here going forward comparing it to what we have seen over the past year, 1.5 years or so? And then how long do these contracts – I think you talked about three of them, how long do they go on for?
Sanjeev Aggarwal: Yes. How are you doing, Richard. Thank you. With our Rad-Hard revenue, as we have talked in the past, there is always a little bit lumpy, but we have talked about two Rad-Hard projects right now. One is the ongoing one, where we are building out ad hoc 64-megabit STT-MRAM for Honeywell. And that project is basically reaching a point where we would – where I think Honeywell would be ready to qualify those devices once they complete processing in the individual fabs. As far as the QuickLogic project is concerned, building out this strategic Rad-Hard FPGA, it is a project in several phases, right. So, this is the next phase that has been renewed. Basically, as QuickLogic announced, it’s $5.2 million, Everspin share is $1.8 million that we announced in the press release and we expect to continue this project going forward. What this covers so far is just a design part. We still need to go ahead and build the device and then characterize it and bring it to production. So, I think those phases will get funded as we keep moving forward. But for now, the funding on this phase is simply to complete the design.
Richard Shannon: Okay. And is that something that lasts through the end of the year, specifically to the strategic Rad-Hard contract, or does it extend beyond that?
Sanjeev Aggarwal: It extends into Q1 as well, Richard.
Richard Shannon: Okay. Fair enough. Maybe touching on the PERSYST product lines, some nice commentary here. I just wanted to get a sense of how do we think of the scale of the revenue potential over the next several quarters relative to the product revenues you had today, obviously, hopefully, building nicely on what you built nice space you have in Toggle so far. How do we think about the potential for the design wins you have in those that you are expecting to close on soon? I mean can we get to revenue level in, say, a couple of years that’s half of what Toggle is doing today, or any way to characterize how we can try to quantify and build our models for this new product family?
Sanjeev Aggarwal: So, without giving any guidance, Richard, using this phrase [ph], yes, that is our desire, right. We would like to reach a Toggle type or 50% of Toggle type revenues over here in the next couple of years. We will start converting some of the design wins towards the second half of the year, more probably towards the end of ‘24 or early 2025. So, I think meaningful revenue you would see only in ‘25, but there will be some recognition in 2024 as well.
Richard Shannon: Okay. Fair enough. I think that’s all the questions, I will jump it on guys. Thank you.
Sanjeev Aggarwal: Thanks Richard.
Operator: [Operator Instructions] And as I see no further questions in the queue, I will conclude the Q&A and conference for today. Thank you to all who participated and you may now disconnect. Thank you.